Operator: Greetings and welcome to TILT's First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Lynn Ricci. Thank you, you may begin.
Lynn Ricci: Thank you, operator. Good afternoon everyone and thank you for joining us. Earlier today, we issued our first quarter 2025 earnings press release. The press release along with our report on Form 10-Q is available on the U.S. Securities and Exchange Commission's website at www.sec.gov, on SEDAR+ at www.sedarplus.ca, and our website at www.tiltholdings.com. Please note that during this afternoon's webcast, remarks made regarding future expectations, plans, and prospects for the company constitute forward-looking statements. Actual results may differ materially from those indicated by such forward-looking statements as a result of various factors, which we disclose in more detail in our most recent 10-K filed by TILT with the SEC and on SEDAR+. We remind you that any forward-looking statements represent our views as of today and should not be relied upon as representing our views as of any subsequent date. While we may update such forward-looking statements in the future, we specifically disclaim any obligation to do so, except as otherwise required by law. As of today's call, we are presenting our financial results in accordance with the United States Generally Accepted Accounting Principles, or GAAP. During the call, management will also discuss certain financial measures that are not calculated in accordance with GAAP. We generally refer to these as non-GAAP financial measures. These measures should not be considered in isolation or as a substitute for TILT's financial results prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to their nearest equivalent GAAP measure is available in our earnings press release that is an exhibit to our current report on Form 8-K that we filed with the SEC and SEDAR+ today, and can be found in the Investor Relations' section of our website. Joining on today's call is our CEO, Tim Conder; and our Interim CFO, Brad Hoch. During today's prepared remarks, we may offer metrics to provide greater insight into our business and/or our financial results. Please be advised that we may or may not continue to provide these additional metrics in the future. With that, I will now turn the call over to our CEO, Tim Conder.
Tim Conder: Thank you, Lynn, and good afternoon, everyone. As we turn the page to a new chapter at TILT, we're focused on a clear objective, transforming our business into a streamlined Jupiter-first organization. We believe this approach will result in a more durable and scalable operating model, one that reduces regulatory complexity, frees up working capital, and ultimately, enhances our growth potential over time. Over the past several quarters, we've been laying the groundwork for this transformation. That work is beginning to show up in the form of strategic asset sales, improved cost discipline, hardware portfolio evolution and product innovation. As we've stated previously, we believe Jupiter is the most actionable opportunity within our portfolio of businesses. Let me provide a quick update on the progress we're making toward fully exiting our plant-touching operations. In Massachusetts, during the first quarter, we signed a definitive agreement to sell two dispensaries to In Good Health for $2 million. As part of the agreement, In Good Health has committed to purchasing products from our cultivation facility, helping to ensure operational continuity and maximizing the value of the transaction. We anticipate closing in the second quarter and that the proceeds from this divestiture will be directed toward paying down our Smoore-related obligations, which will better position Jupiter for future growth. We are also in advanced discussions with a multistate operator regarding our remaining plant-touching assets. We've made considerable progress and hope to finalize a definitive agreement this quarter. Combined with the Massachusetts retail sale, we expect these efforts to materially simplify our operating structure and meaningfully reduce our debt burden once completed. In the meantime, we are continuing to actively reduce our cost structure, while increase revenue across our plant-touching operations. The first quarter sales for our plant-touching businesses had a quarter-over-quarter increase of 20%. This was despite continued pricing pressure in Massachusetts as well as the closure mid-quarter of our Brockton, Massachusetts dispensary. However, we were especially pleased to see revenue turn a corner in Pennsylvania, largely due to the effort put forth by our team after a necessary sales reorganization. Two exciting areas of note were in product introduction and category growth. In Pennsylvania, our Live Rosin products continue to be well-received by patients and dispensary customers. Our rosin concentrate sales through April have grown month-over-month by an average of 9.5%. Patient feedback indicates that this is due to the high quality of product and varying sizes and strains offered. We intend to stay committed to our craft and high-quality standards as we continue to expand this product category in Pennsylvania. In Ohio, we just launched our 0.5 gram Live Rosin product in a Jupiter all-in-one device, the Voca Pro. This commercialization of a new product category represents the collective efforts of our talented and committed teams in Ohio, Pennsylvania, Massachusetts, and of course, the Jupiter team out in Arizona. This new solvent-less product delivers an exceptional experience for medical patients and adult consumers will thoroughly enjoy it as it sets a new performance standard in the cannabis vape category. We have been focused during our strategic review period to maintain the same high standards for products being commercialized by Standard Farms, and we believe this will greatly benefit a future buyer. We are equally focused on positioning Jupiter for long-term success. This strategic plan starts with strengthening the foundation of our business, diversifying our supply chain, expanding our portfolio, shoring up our total points of distribution with existing customers, and adding new customers to the Jupiter platform. As is the case with most of our first quarter periods following Chinese New Year, we experienced a modest start to the year. While our number of orders decreased year-over-year, our average order total has increased by 35%. It's also worth noting that under our new commission-based model, revenue is lower on a year-over-year basis. However, gross margins and cash flow have improved, supporting a more sustainable financial profile. We've also been actively evaluating the impact of tariffs on our supply chain and proactively supporting our main suppliers' manufacturing expansion into Indonesia. Despite the news earlier in the week about reaching a 90-day stay on Chinese tariffs, we will continue this work to ensure that our customers are protected despite the outcome of U.S. tariffs on international goods. The worst part about the proposed tariffs in China and beyond is the uncertainty it has caused our customers to experience. This uncertainty will likely lead to reduced purchasing and just-in-time buying by our customers. Cannabis operators have little working capital to invest in inventory beyond what is absolutely necessary to avoid stockouts. We will continue to do our part to minimize the impacts of tariffs on their businesses and explore all options available to us to ensure they survive this period of uncertainty. As we mentioned last quarter, CCELL continues to be our largest supplier. While we don't foresee any changes to our relationship, we have realized through qualitative and quantitative analysis that our customers require diversification and redundancy. To that end, we have begun to augment our portfolio of CCELL products by filling gaps in our assortment with products from other hardware suppliers and technologists. Our customers are multi-sourcing. To continue to help them solve vape-related problems and challenges, we must follow suit. We will also continue to develop technology internally. We are returning to our innovation roots, which excites me for the future. I expect that innovation will continue to be a key driver of growth for Jupiter. In Q1, we reached a major milestone with our QMID handheld liquid vaporizer device developed in partnership with Curaleaf International. The product is now certified by the European Union Medical Device Regulation, making it the first handheld vape device to achieve this status. The QMID or liquid inhalation device includes a magnetic snap-in pod and a rechargeable power supply engineered to deliver a consistent and controlled inhalation experience, which is very important for medical cannabis devices. The European medical cannabis market is expected to continue to grow as more countries legalize and regulations become more streamlined. Germany has one of the largest cannabis markets in Europe, but the U.K. has a significant and growing market with a large number of active patients. This newly approved delivery method paves the way for improved patient options and a new era of innovation in medical cannabis delivery. This EU medical certification is recognized internationally and paves the way for expanded patient care. We expect commercialization in the months to come. The product will be distributed by Curaleaf International exclusively and available under its certification across medical cannabis countries in the EU, the U.K., Canada, Australia, and New Zealand. Our broader product pipeline remains strong and is getting more focused. We're investing in data-driven hardware advancements and foundational technology evolution, while recognizing the need for consultative account management. Our partners' needs are evolving. The market is more competitive than it has ever been, but we are ready to help them meet that challenge. Over the past year, we've made difficult but necessary decisions to reshape TILT into a leaner, more focused company. We've streamlined operations and refocused our resources on Jupiter, a business with meaningful competitive advantages, global growth potential, and an expanding customer and proprietary technology base. I want to sincerely thank our team for their resilience and hard work through this period of transformation and to our shareholders, customers, and partners for their continued support. We're energized by the opportunities ahead and look forward to updating you on our progress in the coming months. I will now pass the call over to Brad to review financial highlights for the first quarter. Brad?
Brad Hoch: Thanks Tim and good afternoon everyone. As a reminder, all results today are presented in U.S. dollars and are on a year-over-year basis unless stated otherwise. Jumping into our results. Revenue in the first quarter was $22.7 million, down from $24.6 million in Q4 and from $37.5 million in the year ago period. The decrease in year-over-year revenue was primarily driven by our Jupiter hardware business as expected. For Jupiter, revenue in the first quarter decreased to $14.1 million from $17.4 million in Q4 and from $27.1 million in the year ago period, mainly driven by our new commission-based model, which we outlined a couple of quarters ago as well as supply chain challenges abroad. As Tim mentioned earlier, this new model calls for lower revenue but higher gross margins and alleviated working capital and thus higher cash flow. Gross margin in Q1 was 15% compared to 22% in Q4 and 18% in the year ago period. Adjusted gross margin, which excludes non-cash inventory adjustments and one-time adjustments in the first quarter was 18% compared to 24% in Q4 and 16% in the year ago period. It's worth noting that our Jupiter gross margin increased nearly 700 basis points compared to the year ago period, reflecting the benefit of our new commission-based structure. However, the improvement was offset by lower margins in our plant-touching operations. Turning to OpEx. Operating expenses less non-cash adjustments for stock compensation, depreciation and amortization, and impairment charges in the first quarter decreased 10% to $7.3 million compared to $8.1 million in the year ago period. The improvement was primarily due to reductions in legal, professional services, and administrative costs, in line with the company's cost reduction strategies. Net loss in the first quarter was $13.2 million compared to $41.4 million in Q4 and $9.7 million in the year ago period. Adjusted EBITDA in Q1 was negative $974,000 compared to approximately $543,000 last quarter and $38,000 in the year ago period, with a year-over-year decline driven by the aforementioned lower revenue and consolidated gross margin. Cash flow provided from operations for the first quarter was $1.9 million compared to cash used of approximately $508,000 in Q4 and $2.4 million in the year ago period. At March 31, 2025, we had $4.3 million of cash, cash equivalents, and restricted cash, which is flat compared to December 31, 2024. Notes payable net of discount at March 31, 2025 was $77.2 million compared to $72.1 million at December 31, 2024. With that, I'll turn it back to Tim.
Tim Conder: Thank you, Brad. Q1 demonstrated continued progress as we reposition TIL into a focused hardware-first business. The path ahead is clear, and we are confident in our ability to execute on the strategic initiatives already in motion. We look forward to continuing this evolution with key milestones on track in the months to come as we work to deliver long-term value to our stakeholders.
Operator:
Tim Conder: Thank you, operator. I just want to once again thank our team for their dedication and passion to our long-term strategy and thanks to everyone who joined today. I appreciate you all.
Operator: That concludes today's conference. Thank you for joining us. You may now disconnect your lines.